Operator: Good day, ladies and gentlemen, and welcome to Q2 2016 CDK Global Inc. Earnings Conference Call. [Operator Instructions] I'd like to introduce your host for today's conference, Ms. Elena Rosellen, Senior Vice President of Investor Relations. Ma'am please begin.
Elena Rosellen: Thank you and good morning. I am here today with Steve Anenen, CDK's Chief Executive Officer, Brian MacDonald, our President, and Al Nietzel, our Chief Financial Officer. Thank you for joining us for our second quarter fiscal 2016 earnings call and webcast. Steve will begin the call with the highlights for the quarter, and then provide an update on the execution of our business transformation plan. Next, Brian will spend a few minutes providing his thoughts from this first 30 days at CDK as President. And Al will take you through the details of the quarter's results and comment on our forecast for fiscal 2016. A couple of reminders before we get started, our business segment results include the impact of foreign exchange rate fluctuations and we have provided fiscal 2015 segment results on the same basis. However, the revenue KPIs are intended to be indicative of business performance, excluding the impact of foreign exchange rate fluctuations. Additionally, in this morning's press release and in our earnings deck, we have shown both the GAAP results as well as the adjusted results for comparability of the reported period. Throughout today's call, references to financial amounts are on an as adjusted basis. A reconciliation of GAAP to non-GAAP financial measures is included in this morning's press release and is available on the Investor Relations section of our website. And finally, we anticipate filing our Form 10-Q later today. Before we get started, I would like to remind everyone that remarks made during this conference call will contain forward-looking statements. These statements involve risks and uncertainties that could cause actual results to differ materially from those set forth in the forward-looking statements, including those risks detailed in our filings with the SEC. With that I'll now turn the call over to Steve.
Steve Anenen: Thanks, Elena. Hi, everyone, and thank you for joining us this morning. I am very pleased with our strong second quarter results. Adjusted revenues grew 3% or 6% on a constant currency basis. Growth in adjusted pre-tax earnings was stronger than our expectations at 21% or 24% on a constant currency basis and adjusted pre-tax margin expanded 310 basis points. Adjusted EBITDA margin increased 290 basis points to 27.3% for the quarter. This solid performance on earnings resulted from our ability to deliver certain benefits from our transformation plan in the first half of the fiscal year on top of the overall strength in the business. Al will provide more details on the quarter results in a few minutes. Now turning to the US auto market, US auto sales for 2015 were a strong $17.5 million improving 6% over 2014. As 2016 begins, speculation is mixed with expectations that new car sales will start to flatten. As you think about new car sales and its impact to CDK, about 10% of our revenues are transactions or car sales volume related. So, as you can see that volume alone isn’t a direct indicator of CDK's performance. For example, during the recession when car sales dropped over 30% in the 2008 and 2009 timeframe, CDK’s revenues were down just 3% to 4% and margins were flat to slightly down. However, volume is an important barometer of the health of the industry as a whole. Looking outside of North America, European car sales growth was 9% in 2015 and is expected to slow to about 2% with market indicators mixed by geography. However, overall, the environment CDK operates in is healthy. At current levels, dealers are continuing to invest in their operations. Next, I want to give you an update on our Digital Marketing business. Last quarter, we spoke with you about expanding our OEM relationships with our exclusive endorsement with Infiniti. We are continuing along this path and are pleased to announce that we have signed an agreement with Mazda to provide website services to their dealerships. CDK was one of two providers selected in a very competitive environment. We are excited to be working with the Mazda team and look forward to expanding our relationships with them. Next, let me update you on the progress as we continue to execute our business transformation plan. But before I get into the details I want to be clear that CDK’s successful execution of this transformation will result in both improved client experience as well as greater efficiency which will allow was to realize significant earnings growth and margin expansion over the next three years. The client experience would be greatly enhanced by the improvements already taking place as discussed on prior earnings calls such as our improved and streamlined implementation process, which will allow for a better install experience saving our clients time and getting our products working for their business more quickly. Our more efficient client service model leveraging best-in-class tools to provide quicker responses to resolve customer inquiries. State-of-the art technology developed with client input to better address their needs. We will continue and accelerate transitioning our clients from legacy solutions to our latest technologies to better help them run their dealerships. And keep in mind that as CDK's earnings increase, so does free cash flow, which enables increased dollars to be spent on innovation to further improve the client experience. We remain, as we have always been, keenly focused on our clients who are essential to CDK's future success. We get that and highly value each and every client relationship. Now, onto execution. As I stated a moment ago, successful execution of our transformation plan will result in CDK being more efficient and easier to do business with. As you have heard from me before, CDK's transformation is centered on driving operational excellence, which will again be the focus of my comments this morning. To remind you, driving operational excellence comprises three work streams; streamlining the organization, simplifying the business and engaging with clients more efficiently. So for this call, I thought I would spend time on the business transformation efforts in our international segment that falls under our streamlining the organization work stream. Similar to what has happened in the ARNA segment, our fiscal 2016 priorities for ARI consists of rationalizing our facilities, renegotiating our supply chain agreements to take advantage of purchasing power and optimizing expansive control. We anticipate realizing $3 million of cost savings this fiscal year and while the absolute numbers are relatively small, they are meaningful to the segment and actions are well underway. We are also optimizing shared services locations outside of North America for ARI’s back-office, R&D and support that will provide future benefits. So more to come on these initiatives as they take hold. Next, I’d like to provide an update on our workforce management work stream, which is primarily related to ARNA and digital marketing and is also part of streamlining the organization. We have been successful in attracting bright, innovative, new technology talent, both here and abroad in R&D and support functions. We've invested in better tools, which allows us to improve levels of service, while optimizing the labor base. As a result, we expect these actions to deliver savings of about $4 million this fiscal year. Reducing our facilities footprint is also part of streamlining the organizational work stream and we are making progress there as well. As I spoke with you last quarter about our new service center of excellence, we are pleased that our Norwood, Ohio facility is ramping up nicely with over 150 new hires already on-board and in training. As the Norwood facility comes online, we will be able to consolidate other locations. We will close one of our smaller locations during this quarter, plus significantly reduced space at another location and as a result of our consolidation efforts, we expect to be closing 2 more facilities in the second half of fiscal 2016, and we have announced five additional facility closings to occur before the end of the calendar year. So the total of eight facility consolidations completed are underway. I’m very pleased with our progress thus far, and want to emphasize that our actions I discussed are an indication that our execution is thoughtful and deliberate, while limiting operational disruption. We are keenly focused on creating positive client outcomes as we strive to significantly increase profitability and expand margins, while growing our revenues and extending our market leadership position. These actions are all value-added to both our clients and our shareholders. Further updates will be provided each quarter. But before I turn the call over to Brian, I’d like to take this opportunity to welcome him as CDK's President and next CEO. You will get to know Brian over the coming months as he furthers his knowledge of our business in order for him to develop his plans for CDK. As you get to know him, I am confident you will find that Brian brings the right mix of experience, expertise and enthusiasm to lead CDK into the future. Now over to Brian.
Brian MacDonald: Thank you Steve and good morning to everyone. I'm very excited to have joined CDK at the start of the year. CDK is a great company that enjoys an enviable global position providing technology and digital advertising services to the auto industry. There is a great customer culture here with a real dedication to making our dealers successful in their operations. Our business model is driven in large part by recurring revenues with very little sensitivity to the level of car sales as Steve mentioned earlier. Lastly, various benchmarking done by the Company already and incorporated into our transformation plan clearly suggest there is an opportunity to grow margins over time as CDK has laid out in our three year targets. By a way of background, I spend the first 13 years of my career working in the auto industry with General Motors and then with Isuzu in Japan, where I was fortunate to lead a very successful transformation. My experience in automotive reached all of the major regions of the world, so I'm very comfortable in the international automotive business and understand the value of CDK's global footprint. After my time at General Motors and Isuzu, I spend almost seven years in a variety of roles at Dell, including Senior Financial roles and leading an active M&A strategy. I was on the board of Ally Financial, formally known as GMAC which ground me in the post downturn auto market, and gave me an in-depth experience with the F&I segment of our industry. After Dell, I served as the Chief Financial Officer and then the CEO of Sunoco, where I also led a major transformation effort. And I'm currently on the board of Computer Sciences Corporation or CSC which is also undergone substantial transformational changes. So now I'd like to talk about my next few months here at CDK. My top priority is to engage with CDK's employees, leaders and our customers. I have been spending time visiting our field locations, dealers, learning the business, viewing the products and services we provide as well as digging into the business transformation plans and the progress to date. On the ladder, you may have seen in this morning's earnings release that we brought in a very talented executive Dan Flynn who was great process improvements skills and transformation experience as well. Dan will help us drive the transformation forward. Getting to know the CDK team, our organization, our products and clients is critical for me to develop my assessment of CDK. It is certainly too soon for me to have digested everything. However, I want to assure you that I'm fully committed to our business transformation plan. We have a tremendous opportunity to streamline and simplify our business and better serve our dealer customers through improved process and technology. Having been a board member of CDK for the past seven months, I have been well-informed on the plan we have undertaken and I am in full support. This is no small undertaking but rather represents a significant step change for CDK that will take place over multiple years. Having done this twice before, I have a good sense of how this will evolve over the next few years. I couldn't be more excited about the opportunity we have to take CDK to another level. We are committed to deliver results and meet the targets we laid out. With that, I’ll now turn it over to Al, who will take you through the results for the quarter.
Al Nietzel: Thank you Brian and good morning everyone. We posted very good results for the second quarter of fiscal 2016. My comments for the quarter as well as the fiscal 2016 forecast will largely be on as adjusted non-GAAP basis which is shown in the schedules accompanying our earnings release. Now let's move to the results for the quarter. As Steve stated, total revenue growth was 3%, 2% organic and 6% on a constant currency basis. Like many companies with international operations, we faced some headwinds from foreign exchange rate fluctuations, primarily against the Canadian dollar, the euro and the pound. The impact of FX this quarter was once again significant to the ARI business. And claiming my comments on the revenues, our KPIs related to recurring revenues excluding the impact of foreign exchange rates. These KPIs are also provided in the earnings release. ARNA segment revenues grew 5%, 4% organically and 7% on a constant currency basis. Increased site penetration of our Dealer Management System or DMS contributed approximately 1 point of growth. Increased average revenue per DMS client site contributed approximately 4 points of growth and increased transaction revenue for our credit services, vehicle registration and our vehicle equity calculator offerings contributed approximately 2 points of growth. A decline in other one-time revenues reduced growth by approximately 1 point. For ARI, revenues declined 5% entirely due to unfavorable exchange rates. However, on a constant currency basis revenues grew 5% from increased revenue per DMS client site, primarily from additional users. Site counts within ARI were down slightly on a year-over-year basis, but flattened our sequentially. For Digital Marketing, revenues grew 2%; 3% on a constant currency basis. Revenue growth was once again challenged due to a decline of 12% in client website counts. You'll recall, this was anticipated as a result of certain changes to OEM programs. However, as we move through the second half of the year, we expect growth in our website counts as we lap the declines that began in last year's third quarter and we add new sites from OEM relationships and dealership relationships that Steve spoke about earlier. Moving from revenues to cost, our cost of revenues declined $22 million or 7% from the year-ago on an as reported basis. Favorable year-over-year comps helped us in the quarter including a favorable impact of foreign exchange rates of $6 million. The $15.6 million charge we took in last year's second quarter to accelerate Cobalt’s trademark amortization and last year's fourth quarter divestiture of the Internet leads business. We're also realizing some benefits from our transformation efforts. We are continuing to migrate hosting facilities that support the ARNA and digital segments resulting in duplicate operations. These costs partially offset the benefits achieved during the quarter, but all-in we continue to gain leverage with lower expense growth versus revenue growth. Our research and development spend, which is included in cost of revenue, represents about 8% of CDK's overall revenues. I mention R&D because investment in product is an important part of the engaging clients more efficiently work stream and we have a robust roadmap of initiatives that are underway to deliver the best solutions to our clients. Moving on, SG&A, which on an as reported basis was flat. Similar to cost of revenues, favorable exchange rates in the quarter and last year's divestiture of the leads business reduced SG&A along with the benefits achieved through our sales optimization work stream. Offsetting these benefits were costs related to the transformation plan totaling $5.1 million split evenly between OpEx and SG&A and $3.4 million of incremental standalone public company cost as we were building the public company structure a year ago, both of which are shown as pro forma adjustments in our non-GAAP tables. You also saw in our P&L restructuring expenses of $1.8 million in the quarter. This represents primarily employee-related cost incurred in connection with our transformation plan and is also reflected as adjustments in our non-GAAP tables. Interest expense was $9.5 million in the quarter compared to $9 million a year ago, primarily due to debt issuances after the spin-off and the new term loan that was entered into in December 2015. This will result in additional interest expense for the fiscal year of approximately $3 million or about $0.01 a share. Moving on from costs, adjusted net earnings before income taxes grew 21% or 24% on a constant currency basis. Our adjusted pretax margins expanded 310 basis points for the quarter. And to pause for a moment on ARNA, the pre-tax margin expanded 400 basis points to 32.9% with approximately 150 basis points of contribution resulting from the transformation initiatives. Along with the operating scale we enjoy in our business, we are pleased that we are seeing positive impacts of our transformation plan in reduced cost, higher margins and improved efficiencies. Total CDK adjusted EBITDA margins expanded 290 basis points for the quarter to 27.3%. Again, we achieve savings from executing our transformation plan, which contributed about 150 basis points to our EBITDA margin expansion, which we’re quite pleased with. Adjusted net earnings increased 23% due to the factors I just discussed. Growth in adjusted diluted earnings per share was a strong 26% and our cash balance as of December 31, was just under $350 million. Now, I'll turn my comments to the new return of capital plan. In December, we announced our plan to distribute $1 billion in capital to our shareholders. This new return of capital will be executed through a combination of dividends and share repurchases and includes the authorization by the board to purchase up to $1 billion of CDK shares. This is a formalization of the parameters we laid out as part of the business transformation plan back in June. In connection with the return of capital plan, CDK entered into an accelerated share repurchase agreement or ASR to repurchase $250 million in CDK shares. Under this program, 4.3 million shares were delivered to CDK in December, which we expect to contribute $0.02 to earnings per share for the year. Final delivery of the remaining shares is due in the fourth quarter. Clearly, we carefully considered several alternatives to the ASR. There were many factors, including inherent value, risk, including tax risk, given our spinoff status, leverage, limitations driven by our share volume and of course costs. We believe this plan is the appropriate approach at this time given these factors. But as with anything this important, we regularly assess our return of capital activities and will continue to do so. Now moving on to the forecast for fiscal 2016. In this morning's earnings release, we noted certain items that will negatively impact earnings and margins in the second half of the year. These include costs totaling $9 million to $10 million related to the CEO transition announcement, additional pressure from the strengthening of the US dollar and additional interest expense from the new term loan entered into in December. The $9 million to $10 million cost related to the CEO transition, the majority of which we anticipate will be recorded in the third quarter, will reduce both pre-tax and net earnings growth by approximately 10 percentage points in the quarter and three percentage points for the full year. Despite this, our full-year forecast is still in line with our prior communications to you. To remind you, $45 million is included in our full-year forecast for the business transformation plan. And we are on our way to achieving this target. These, as you recall, are incremental dollars to what our base model has delivered over many years. Next, I think it's helpful to cover the full-year forecast in context with our results through the first half of the year. Our margin improvement on both the pre-tax and EBITDA basis is up approximately 300 basis points through the first half. A good way to think about it is 100 basis points is coming from strength and operating leverage in the core business and additional 100 basis points is from one-time items we discussed last quarter that will not repeat in the second half and finally 100 basis points is from benefits due to the transformation plan. And certain of the transformation benefits already delivered are not going to recur. For example, we received vendor rebates as part of our procurement work stream and they’re completed for the year. So, the point I'm making is the dollar benefits from the transformation will not be the same each quarter. And finally, keep in mind the CEO transition costs that will hit primarily in the third quarter are anticipated to be an 80 to 100 basis point drag on the pre-tax margin and a 40 to 50 point drag on the EBITDA margin in the second half of the year. Significant earnings growth and margin expansion is anticipated in the fourth quarter which we expect will provide a strong step off into our fiscal 2017. I feel great and good about where we are entering into the second half of the fiscal year, still lots to do, but we are on the right track to deliver against our full-year forecast. And with that, I am going to turn it back to the operator; and Steve, Brian and I will be happy to take your questions.
Operator: Thank you. [Operator Instructions] Our first question is from Gary Prestopino with Barrington Research. Your line is open, sir.
Gary Prestopino: Hey, good morning, everyone.
Steve Anenen: Hey, good morning, Gary.
Gary Prestopino: Couple of questions. Steve, could you maybe talk about, we have the statistics, but when we got into a period where auto sales were – in the US really were growing at low-single digit rate in the middle part of last decade, what was the top line performance growth for the company. I guess, I am trying to get at, where do you think you can grow the top line consistently in a period where auto sales are not growing as they had been in the past.
Al Nietzel: Gary, I am going to take that one. It’s Al. I think the way to think about it and Steve kind of illustrated in his kind of opening remarks, during the 2008-2009 downturn here in the states where car volumes went from 17 million to 10 million units, right. Our revenues through that period were down 3% to 4%. And I think the sensitivity that we have is really about we have such a recurring revenue model. Our ability to growth through those cycles is really about executing against our strategy which we kind of – it’s really our layered application strategy. We enjoy this base with our clients and our objectives and our model is to gain a greater attach rate to value added applications and services that allow the dealerships to be more efficient and profitable whether it’d be in service, whether it’d be in parts, whether it’d be in F&I and so forth. And that's really the strategy.
Gary Prestopino: Okay, thanks for that. And then could you maybe comment just give us an early look on how that endorsement by Nissan for, I believe it was website, how was some the sell through there initially or at least the ability to talk to the dealers and get them interested in what you're doing, because the endorsement is just that. It doesn't mean that the dealers have to take your websites, right?
Steve Anenen: Yeah. On the Infiniti, which is an exclusive endorsement, you are right it's not mandated by Infiniti. However, they will co-op dollars and actually those co-op dollars by way of an incentive takes place in April. And so we've been outselling and we've been getting some traction already with sales and it will pick up steam as we roll towards the April timeframe. And I think we're going to make great progress and hope out of the 200 Infiniti dealers we will be able to capture a good share of those.
Gary Prestopino: Is that normal in those endorsements that the OEM will take co-op dollars?
Al Nietzel: Yeah, for example I just talked about Mazda. Mazda is doing something similar although [indiscernible] they’ll actually have two providers that will be certified and then they will encourage their dealer and there is roughly 600 plus Mazda dealers in the US. They will encourage them with co-op dollars to move towards one of those two providers that are certified.
Gary Prestopino: And just lastly, are there heavy switching costs that are associated with the dealer moving from one provider to you on the website side.
Al Nietzel: Unlike the DMS solution, a website to changeover is not as difficult and not as heavier switching cost.
Gary Prestopino: Okay, thank you.
Al Nietzel: Sure.
Operator: Your next question is from Brian Essex with Morgan Stanley. Your line is open.
Brian Essex: Good morning, and thank for taking the question and Brian, good to meet your over the phone. I was wondering if you might be able to give us a little bit of color on automotive retail North America. I guess is there a way to qualify on the platform consolidation side how much progress you've made, how many versions I guess you started within and where you are headed there. And then perhaps the success that you saw in the quarter on organic basis, particularly revenue per site. May be a little bit of insight into where that lift came from, whether it was better bundling or incremental customers coming on and better pricing or what kind of incremental color you might be able to provide there?
Al Nietzel: Yeah I mean, I think first you know Brian in the case of ARNA, the work stream that we’ve talked about with respect to engaging clients more efficiently in terms of our kind of plan rationalization efforts is under way. There is not a stat that I’m going to provide in terms of exactly where we're starting and where we’re getting to that, that will come out as we ultimately migrate the base to our latest and greatest of platforms which is going to better for clients, better for associates you know and better experience for clients to use our application set. So that’s a good thing. As we think about the growth that we experienced in the quarter, you saw that about a point of the growth is coming from new points, new market share and so forth. And we've got four points of lift that came through a combination of what you just described that's higher attach rate with our layered applications which drive the growth and the average revenue per DMS site. And also pricing is incorporated into that that we normally do as well. I'm not going to split either of those two out but ultimately you will see the results of our efforts through the higher average revenue per DMS site as we add higher value layered applications whether it be inventory, whether it be CRM and other applications including Service Edge and so forth for the base. So, we’re actually pleased with where the quarter came out. And I think we’re going to looking at that type of a trend is where we want to be.
Brian Essex: Great and then maybe if I could follow up on the cash flow. It looks like we don't have a cash flow statement yet. But any sense of just on the high-level where things shook our for cash from --.
Steve Anenen: It will be in the – it will be in the Q that will come out in just this afternoon, Brian.
Brian Essex: Okay, what about, I guess on the working capital side, with spike in receivables, is there anything that we need to consider from a seasonality or working capital perspective as we look from --?
Al Nietzel: Yes, we still project solid cash flow generation through the business. Our fourth quarter was a little bit impacted by some seasonality. We had a couple of very specific items fortunately and the money has been received already in the first couple of weeks of January. So, you’ll see some of that turn in our third quarter but we like the inherent cash generation that the business generates and we’ll see us getting to a you know committee to level of cash flow.
Brian Essex: Okay great, thank you very much, I appreciate it.
Al Nietzel: It's over a couple of hundred million as you know it's like over $200 million free cash flow.
Operator: Thank you. Our next question is from Rayna Kumar from Evercore ISI. Your line is open.
Anthony Cyganovich: Good morning, this is Anthony Cyganovich on for Rayna. You talked about returning to the website growth in the second half of ’16. Is there any way you could quantify that how much you're expecting?
Steve Anenen: Well, I think if you know we’ve had as you know from certain OEM changes to programs we had some fairly difficult comps in the first half of the year. And as I said in my remarks, we’re going to be lapping some of those in the second half of the year coupled with what you know Steve described as some of the other OEM endorsement relationships that we enjoy coupled with the focus that our field sales organization has on continued website penetration of our base. So, while the actual numbers through the first half are down, we're going to expect more during Q3 and then we’ll see even greater increases we think about Q4 in terms of websites.
Anthony Cyganovich: Okay great, that’s helpful. Could you say like how much of the $45 million in adjusted EBITDA target you’ve achieved so far?
Al Nietzel: We talked about the second half of the year, with $45 million, in and around $30 million in the second half of the year and we've achieved about $15 million of it in the first half. So that's kind of the way to think about it.
Anthony Cyganovich: Okay, great. Thanks a lot.
Operator: Thank you. We have time for one more question. Our last question is from Stephanie Davis with JPMorgan. Your line is open
Stephanie Davis: Hey, guys. Thanks for taking my question. I just want to follow-up a little bit on the prior SAAR question, I get that your business has historically been shielded from the clients in SAAR, but you've since acquired a digital business that has more discretionary ad spending competition. Could you quantify any potential changes in volatility that this could create?
Steve Anenen: Interesting, Stephanie, from what we've seen through previous cycles, and this is kind of interesting phenomenon is when there are some declines in some of those areas, in actual fact, dealers sometimes have a propensity to spend a little bit more on advertising to get more traffic into their stores. So, there isn’t a direct correlation that I can kind of map to and say statistically this was what happened. But we actually see more effort on behalf of the dealers to attract customers and so forth during some of those very difficult times. So that's kind of the way I would kind of assess it.
Stephanie Davis: Good to hear. Nice little offset. Just one quick follow-up on the competitive landscape, could you update us on any changes you might be seeing, one of your larger peers is privately owned?
Steve Anenen: Stephanie, pretty much the same. We continue to pick up some share. I think all the competitors are very formidable. All of them are chasing the same area that we are. They are building out their portfolio as we have over the past. I think we rely on our channels to be able to deliver the message and it's tough. There is no easy sail.
Stephanie Davis: All right. Thank you, guys.
Operator: Thank you. At this time, I’d like to turn the call back over to Mr. Steve Anenen for any closing remarks.
Steve Anenen: Sure. Thank you. We are pleased with our second quarter results. We are well-positioned entering the second half of our fiscal year to deliver against our full-year expectations. We’re glad to have Brian on board and you will hear more from Brian over the coming months. He is already making a positive impact here at CDK. We still have lots to do to deliver on the year, which will better position us for the long term. I hope you share our enthusiasm for what's to come. Thank you for listening today. All of you, have a good day.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes your program. You may now disconnect. Everyone have a great day.